Somruetai Tantakitti: Good evening, everyone. Welcome to third quarter of 2024 results conference call. Thank you very much for joining us late in this Friday evening. First, let me introduce our management, CEO, Khun Somchai.
Somchai Lertsutiwong: Good evening.
Somruetai Tantakitti: Our Chief Consumer Business, Khun Pratthana.
Pratthana Leelapanang: [Foreign Language]
Somruetai Tantakitti: CEO Broadband, Khun Tee.
Tee Seeumpornroj: Good morning -- sorry, good evening.
Somruetai Tantakitti: Our acting Head of Enterprise Business, Khun Phupa.
Phupa Akavipat: [Foreign Language]
Somruetai Tantakitti: Our CFO, Khun Montri.
Montri Khongkruephan: [Foreign Language]
Somruetai Tantakitti: We also have Khun Nattiya, Head of Investor Relations and Compliance.
Nattiya Poapongsakorn: Good evening.
Somruetai Tantakitti: Myself, Somruetai, will be briefing you on the results and running this session. The session will begin with a short brief and then go directly into Q&A. [Operator Instructions] Now let me begin our presentation. The economy saw modest growth in the improved stability of tourism recovery. However, cautious consideration is needed given the lower GDP forecast due to weaker consumer sentiment, slower private investment and recent flooding impact. In modest growth environment with stable competition, we prioritize quality-focused business expansion and aim to build a resilient, efficient operation to drive solid performance. The mobile business grew healthily driven by stable competition and increased data consumption trend and also a steady increase in returning tourists. We focus on enhancing customer value with quality network and service and a proactive retention program. Broadband maintained its growth with high-quality customer acquisition, bringing the subscriber base close to $5 million. We focus on upselling higher-value packages and cross-selling innovative services. Integration is progressing on track. Enterprise nonmobile service benefiting from increased demand for EDS and cloud service. We had a large cloud projects in quarter, which boosted cloud revenue growth. The recent flood heavily affected customers in Thailand's northern and northeastern provinces. AIS experienced minimal impact having proactively elevated base stations and generators above flood levels. We are closely monitoring the situation, extending payment periods for effective customer and supporting local community. In the third quarter, AIS launched green funding initiatives, including Green Bonds and Green Loans to support sustainability focused projects like expanding 5G networks in the rural areas. The rates will be announced on November 6. Our 9-month performance exceeded guidance, benefiting from increased economic stability in the third quarter. The low season impact was also offset by economic stimulus and steady rise in tourism. We will continue our efforts and ensure the momentum of the third quarter performance continued. Consumer sentiment for this fourth quarter remains uncertain. As GDP forecasts are revised down despite expected government stimulus and the high season. And lastly, we would like to highlight yesterday, AIS in collaboration with Central Investigation Bureau. We launched the *1185# Aunjai Report End of Scammer. The customer can now quickly report the last received scam calls within 5 minutes after the call for blocking and investigation. The system will automatically retrieve the last number without requiring customers to remember the number. And within the 48 hours after investigation, if the calling pattern of those numbers indicate suspicious activities, AIS will forward the information to the Central Investigation Bureau. And this is the end of our short brief. We'll start Q&A now.
Somruetai Tantakitti: [Operator Instructions] We will have our first question from Khun Ranjan from JPM.
Ranjan Sharma: Do you hear me?
Somruetai Tantakitti: Yes.
Unknown Executive: No, now I can't hear you, Ranjan.
Somruetai Tantakitti: No, we can't hear you now.
Ranjan Sharma: Hello?
Somruetai Tantakitti: Now we can hear you.
Ranjan Sharma: Yes.  Three questions.  Firstly, you talked about the background impact from flooding. But if you can share with us what are the recent trends that you're seeing in monthly revenues. Are you seeing growth from September onwards? That's the first question. The second is on the CapEx side. Are there scenarios in which you see CapEx budget increasing from next year onwards because you've already built out the 5G network -- the population coverage? Or can we expect CapEx to be in the similar ballpark as what we have seen? And lastly is on the cloud, if you can remind us your initiatives and what the take-up of the Oracle Alloy cloud has been.
Unknown Executive: For the first one regarding the revenue growth, we continue on having the benefits more or less the upside from the price repair [ flowing ] through this quarter. I mean quarter 3 and [indiscernible] of quarter 4, flat impact, a small piece of those not significant. So that's why you can see is continue on growing is minimal impact.
Montri Khongkruephan: Let me take on the question 2 on the CapEx, Ranjan. There's some delays on CapEx investment this year. But I think we will still keep the guidance remain because I think there will be activities towards the first quarter this year. Next year, I think we also need to strategize a little bit more on what we're going to take up in next year. So we haven't finalized our strategy yet. And it's likely if we remain the same business, CapEx will be decreased. But I think it's subject to the strategic direction in the next couple of months.
Unknown Executive: For the Alloy cloud, let me take that question. We -- after launch, we have been working with many enterprise key strategic customer and get very good feedback from the market. Many partners and customers need more detail on that one. So we have a quite solid pipeline to prepare for the launch next year.
Somruetai Tantakitti: Next, we can go to Khun Weerapat from CGSI.
Weerapat Wonk-Urai: This is Weerapat from CGSI. I have 2 questions. The third quarter handset sales came in quite strong with high gross margin. What could be the best line for handset gross margin going forward? And my second question is that how do you see handset sales trend in the fourth quarter?
Montri Khongkruephan: I will answer on the gross margin and maybe Khun Pratthana  will add on in terms of the momentum on the handset sale in the fourth quarter. I think we -- since the beginning of the year, we focused heavily on improved gross margin on the handset sales. And we start seeing the result since Q2 this year and has continued to grow in terms of the percentage of gross margin in Q3. And I think in Q4, I think we still believe that you can do more, especially in the high season and also plus if there are some government stimulation package, I think we are keen to take on that to improve the margin.
Pratthana Leelapanang: In terms of sales in Q4, typically, is a high season of device sales in Q4, inclusive of, in particular, iPhone whereby the inventory come in, in the late September to October and November. We do expect that the typical take-up in Q4 will happen this year as well.
Somruetai Tantakitti: Next, we can go to Khun Pisut from Kasikorn.
Pisut Ngamvijitvong: Can you hear me?
Somruetai Tantakitti: Can you speak louder, please?
Pisut Ngamvijitvong: Is this better?  This is Pisut from Kasikorn Securities. May I have 3 questions. My first question is about your net subscriber additions for both mobile and broadband services in this quarter Which were quite robust comparing with your competitors. My question is -- such a good number, have it come from the higher gross addition or lower churn for the both mobile and broadband businesses. This one is having a bigger effect. And for the gross additions of the broadband, did you get them from the household that never had a broadband before or from your broadband competitor in the market. Again, which one was bigger effect? And do you think this favorable situation could be sustained? Or could it be slowed down in the next few quarters? My second question is regarding the 3BB before being acquired by AIS, 3BB made a net loss of about $2 billion plus/minus per year. After you acquire it, you say it may take 1 to 2 years to digest and turn around, which does make sense for me. So if everything goes as planned, 3BB should still be loss making more or less. If subtracting 3BB from AIS reported net profit, your net profit should actually grow 3% to 5% higher than the reported one. Am I correct on that? And when -- a related question to the 3BB is that about the debt financing that you have the short term. You mentioned earlier that you're going to convert it into the long term, including putting into the package with the 3BB infrastructure fund as well. Please update us on this progress. And another thing about the effective tax rate, which was [ 17.5% ] in this quarter. Was it from the tax loss carry forward of the 3BB? What would be the trend going forward? And my last question is about the spectrum auction. What would be economic pros and cons if AIS happened to acquire a blocks of 30 megahertz bandwidth of 2300 megahertz spectrum, after this -- and also after this auction, I mean, in 2025, in what year that NBTC would hold another round of auction for the different set of the spectrum, of course, for example, 3500 megahertz and also the spectrum from the expiring licenses and also the 6G spectrum.
Pratthana Leelapanang: Allow me to answer the first one regarding net adds on mobile -- the gross add on mobile in past quarter is not much higher. In fact, it's the same level, whereby the churn has been continuing on improve Again, we have been focused on quality, so it's a big improvement on churn. Would this trend continue? In Q4, we do expect some of the change in numbers there are measures that we put in on many sign-up execution of customer identity. So we do expect in November and December, they are expired the SIM whereby they are not coming [indiscernible]  they may go to share number a bit more in Q4. But typically, general environment is the gross add is not higher. In fact, it's slightly lower, whereby the churn improvement is continued to benefit us.
Unknown Executive: On actually your trade question, it's actually about 10. On broadband, I think gross add depending on the period you compared to -- I think compared to early this year, then slightly improved. Compared to last year, then it's -- I can't recall what the number.  last year was.  But I think the total -- if you look at subs versus revenue, then it's a little bit confusing last year versus this year. But gross add improved a little bit from early this year. Churn, I think more or less, it's stabilized. I think around the number that you saw sometimes, some months up, some months down. But overall, I think it stabilized around this table. In terms of question whether we get from new competitor, it's both actually. But I don't think we have the exact number on proportion.
Montri Khongkruephan: Let me maybe continue to answer Khun Pisut question, on the proportion on loss that 3BB made in the past. As I mentioned earlier, last time, when we look at 3BB, we're not looking at organic in terms of the P&L because there's a lot of synergy value we've been capitalized on that. So we not reported loss or profit on 3BB, but I think on the -- another side on the tax loss and also the effective tax rate, I think we're still not having benefit on utilizing tax loss carryforwards from 3BB yet.
Unknown Executive: On the spectrum auction, I always [ reply ] like this, every spectrum auction happen, AIS will consider on every frequency that they are now in the market. Even early next year, they may come up with 850 to 2.1 and 2.3 which, 2.3, we don't have any network like our competitors, but at that time, we still consider on that frequency. However, when we will go to reality to take it or not, it still depends on the condition and the time frame and the pricing at the time also that we always have the consultant to evaluate our technical investment and also the [ kind ] of the spectrum. We will conclude in the reality when we know the condition. The same at the 3.5. I think 3.5 may be the next [indiscernible] not early this year because they have some obligation among the broadcast industry. So I think the same -- if they have the chance to do the auction on 3.5, we also we will consider every frequency.
Somruetai Tantakitti: We would like to go to Khun Thitithep from KKP.
Thitithep Nophaket: Can you hear me?  I cannot -- okay, now I can. I have just -- I have 3 questions. The first one, usually, in the past, you often booked their bonus provisioning in the fourth quarter. But then for this year, my understanding is that you already booked it in the second and third quarter. So if that is a case, should we expect the admin expense to go up in the fourth quarter? I mean Q-on-Q, will it stay the same as the third quarter would it go down? Second question is on the DC businesses. We heard a lot of the global DC player entering Thailand like -- mix or the hyperscaler. Can you compare your competitive advantage the [indiscernible]  DC through the pure play mix or the hyperscaler. What is your competitive advantage compared to them? And then the third question is that you showed in your last page that actually the 9 months performance has exceeded your full year guidance, but you haven't revised the guidance. Is that because you're concerned about the fourth quarter outlook?  Just 3 questions.
Unknown Executive: For number 3 question. Last quarter, we also mentioned about this especially in this quarter, it's very close to year-end, we would not [ not try and change ] any guidance.
Montri Khongkruephan: Maybe, Khun Thitithep, maybe the performance bonus accruals. So basically, we look at the KPI we achieved. I mean if you can look at the result that we've been doing, especially the good performance starting Q2 and Q3. So that's why we need to reserve that accordingly. And I think it will be similar in Q4 as well.
Unknown Executive: For cloud and DC business, we acknowledge that hyperscaler is coming to Thailand. The reasons our key competitive advantage about the Alloys and the cloud business that we have is that we service in Thai, 100% complied with the Thai laws and government requirements. We also charge in the local Thai baht , and we don't have to worry about -- I mean our customers don't need to worry about the exchange rate in the future. And the last one is, we are the network service provider.
Thitithep Nophaket: Right.  Can I have just a follow-up question on that. So you mean if it's the hyperscaler of the global firms, they charge customer in U.S.  dollar?  Or in [ other ] currency?
Unknown Executive: Normally, I will not quote for another hyperscaler. But basically, they have the price that -- I mean, compare -- or change based on another currency because they are the global.
Somruetai Tantakitti: We have Khun Wasu from Maybank.
Wasu Mattanapotchanart: So I have 3 questions and perhaps one bonus question for Khun Somchai. The first one is about the network OpEx, so network OpEx and NT partnership dropped by 10% Q-on-Q. So what are the reasons behind a big drop? And I noticed that the IC and NT partnership revenue dropped by only 2%. So I think the OpEx drop is a lot larger.  So why is that?  That's the first question. The second question is about the revenue trend, including both fixed broadband and mobile revenue. So how did AIS outperformed through in the second and the third quarter in terms of the Q-on-Q revenue growth for both mobile and fixed broadband segments. So that's the second question. The third question is about the enterprise revenue. So basically, the enterprise revenue jumped by 11% Q-on-Q. So my question is, is this level of revenue base in the second quarter sustainable? I mean the third quarter, sorry, in the third quarter, is this level of revenue sustainable? And was the revenue jump caused by like a big onetime project delivery? And finally, the bonus question is about Khun Somchai's term as a CEO. So a recent article by Bangkok Post mentioned that Khun Somchai's position as the CEO will be extended for another year, next year. Could you please give us some more colors on that?
Somchai Lertsutiwong: Let me answer my question. That's all the news. I still don't get any confirmation from the Board because we have really clear succession plan and also go to the NCC to consider this stuff by formality, I still don't get any confirmation.
Unknown Executive: Let me take on the enterprise revenue. In the enterprise revenue, we have the 2 type of the business is onetime and recurring. So the revenue from the Q3 is a mix of that, and we believe that is sustainable for the next quarter as well.
Montri Khongkruephan: We must have on the OpEx. I think what we've done continue doing is also the look at the cost optimization. So I think part of it will be the rental negotiations and we also try to save on energy consumptions using AI to monitors. So I think that's probably overall answer in terms of the cost, how we manage costs and then get better cost reduction.
Pratthana Leelapanang: Regarding the revenue growth in Q3, I would like to answer on mobile side. I cannot say why we, at the end, show the higher growth than competitors. But what we would like to say is we are very focused on values. Value in this sense means in terms of value acquisitions as well as monetization of uplift the ARPU with valuable products and services. As we have been explaining for the last few quarters, -- we continue on price repair, stop what we cannot be able to provide sustainably and focus a lot more. And in fact, has been continuing on a super focus more on the quality of product and services that what we continue on. And we have been receiving a positive response from the market that what we are very graceful about that.
Unknown Executive: Yes.  I think, probably I think the same kind of action on the broadband side. We also focus on giving consumers what they want, the quality of service new product and services and also we focus on quality of acquisition plus upsell cross-sell so that I think these customers, if they want to spend extra with us, then we are happy to entertain that.
Wasu Mattanapotchanart: Maybe one follow-up question regarding network OpEx. Since the drop is mainly due to rental negotiation and higher energy efficiency. We can assume that THB 5.4 billion network OpEx in the third quarter is a new base, right? It's not going to suddenly jump back up to over THB 6 billion per quarter. Am I fair to assume that?
Montri Khongkruephan: Can you repeat that again, Khun Wasu?
Wasu Mattanapotchanart: So in the third quarter, network OpEx and NT partnership expenses, it dropped to THB 5.4 billion so I'm just wondering whether THB 5.4 billion is a new base that we can work on. My question is that maybe -- is there a chance that it can jump back to THB 6 billion in the next few quarters or something?
Montri Khongkruephan: I think you can use this as the benchmark for the next quarter also and so on as well. What we try to bring down on the network OpEx is in every area, it's not only just the rent and power consumption. But also the maintenance also, that's also the big chunk of it that we can also reduce as well. So I think you can take that as a base. And then going forward, we also need to take a look at that, how we can optimize more.
Somruetai Tantakitti: Next, we have Arthur from Citi, please.
Arthur Pineda: Most of my questions have been asked. Just one question, please. Can you elaborate on your comment on price repair? What have you actually enacted recently? And what have your competitors done? And what do you expect going forward on this side?
Pratthana Leelapanang: Regarding the price repair, the unlimited low speed had continued on been taking out from the market because it has not been able to kind of sustainably provide it that continue on from new customer to the one who end the promotion. That essential part of it. The second piece is the device subsidies whereby we continue on optimize device subsidy. That also give us some type of a bit of negative in ARPU. But overall, profit and value remain better than before.
Arthur Pineda: Were there any direct price increases implemented in the market?
Pratthana Leelapanang: No, not as we do.  We discontinue some of the plan that is not sustainable and plan that we believe is not sustainable as we continue and report to the market.
Somruetai Tantakitti: Next, we can go to Piyush from HSBC.
Piyush Choudhary: I have a couple of questions. Firstly, on the mobile side on the ARPU, there was some kind of blend ARPU decline sequentially. I know it's seasonally weak and there was postpaid ARPU declines. So -- but can you kind of share with us how you're thinking of the outlook in the fourth quarter, but kind of next years on the mobile ARPU side. Secondly, on spectrum auction, can you give any color on how have been the discussions with the regulator likely pricing and time line for the auction next year?
Pratthana Leelapanang: For the first one regarding ARPU year-on-year as Khun Piyush you may see is an improvement year-on-year. Q-on-Q is seasonality as well as some of the optimization on device subsidy. So we believe that in Q4 and moving forward to next year, we truly believe it's going to continue increase a bit.
Unknown Executive: On the spectrum auction, because AIS and also through DTAC you've seen the NT frequency on to 2.1 and 2.3 and as you can see, when we will end next year. So, we ask the NBTC to go to the auction on that frequency for let us continue using these 2 frequency, both AIS and also DTAC and [indiscernible] However, we also talk to them when you go to the auction, it's not only through frequency that NT will have the resource to auction. We still -- both of us still have a 2.1 in the pipeline, how NBTC think in terms of pre-auction in the same time. That will make up can [indiscernible] more lease allocation, something in the future. This thing that we try to talk to NBTC. However, the resolution from their side still not coming up yet. At least, I think early next year, they should have the auction on 2.1 and 2.3 for the NT part. Even NT tried to ask for them to [ end ] the license to them as [indiscernible] at the [indiscernible] , but by the law, they cannot do it.
Piyush Choudhary: Got it.  Just a follow-up on the mobile ARPU side. As optimizing [ device ] study, there is some kind of pressure on the ARPU. Like is it now reflected across the base and you may not see incremental pressure on ARPU from further optimization of device subsidy or that could...
Pratthana Leelapanang: Device subsidies probably be about that. But in terms of prepaid, it will be more room.
Piyush Choudhary: More room to improve prepaid, you're saying?
Pratthana Leelapanang: Yes.
Somruetai Tantakitti: We have Khun Pisut again from [indiscernible]
Pisut Ngamvijitvong: Can you hear me?  I have 2 follow-up questions. First is regarding your new investments, for example, the data center and virtual banking business. I understand that your investment would be like a joint venture and how many you would recognize the operation, the results under the share of the profit line. It would be great if you could share your plans over the next 3 to 5 years, including the megawatt capacity target that you want to have for the data center and your investment budget on this and your internal IRR. And for the near term, how much share of loss that may incur in the earlier stage of the investment? This is my first set of question. My second question is back to the auction. If the auction next year is already done, and what do you think when will be the next period that the NBTC could launch another round of auction after 2025?
Unknown Executive: Update on the auction that we try to talk to them like a pre-auction in the frequency, not only 2.1, 2.3 for NT, we also have one-off 2.1. That maybe in short period, will end up. We ask for them to put auction in the same time and pay later when that our 2.1 frequency, [indiscernible] out of the period. This is all the thing. However, I think, next year, when they auction at least 2.1 and 2.3 from NT. And if they don't allow to create auction for the thing that we request, I think maybe another 1 year, not so far, another 1 year. Because 3.5 still have some obligations in the broadcast industry. If they bought auction next year, not next year, another 1 year, still have the loom and time frame to take that kind of 3.5. So next year, only one time for my guesstimation another [ fasted ] about another 1 year.
Montri Khongkruephan: For the investments on the new business like virtual bank and data center, I think it's clear that we participate as a joint venture. So you recognize [indiscernible]  profit loss. But on the GSA, in particular, I think we have capacity 256 meg. And basically, if we can bring in customer full, we will take a lot of profit on that. But I think right now, it's still early stage. We haven't finished building it yet. We have customer pipeline that we are contacting, but they also want to see the place. So I think it's too early to tell. And the IRR model, we also assume based on what we discussed internally, but it depends on the -- how we bring in the client on board as soon as possible. On the virtual bank, I think it's a long way to go. They were giving us license mid of next year. So right now, it's still in the preparation stage on the -- what we need to do and what we need to prepare once the license come up. But obviously, when we invest, it depends on the percentage and the capital initial is only THB 5 billion. So it's nothing for us for next year.
Somruetai Tantakitti: We have Khun Wasu for the second time from Maybank.
Wasu Mattanapotchanart: I have one question regarding the spectrum auction. Can NT participate in the auction? And what's your view on them on the possibility of NT participating?
Unknown Executive: They can.  By their line, they can, but I don't think so they have ability to do so because I heard that even Ministry of DES still don't want them to participate based on the last auction that they got 700 megahertz, 10 megahertz, they also cannot do or divest it well. We have to come to help them in terms of build up the network and [ capacity ] the performance on their side is still not good.
Somruetai Tantakitti: Next, we have Khun Samuel Chen from AllianceBernstein.
Samuel Chen: Can you hear me?  Samuel from AllianceBernstein. I have 2 questions that could be a little more controversial. I want to ask you the first question, I would say that the overall industry competition has been slightly more rational over the past 4 quarters. I understand there has been a good momentum for mobile ARPU repair as well. You guys mentioned already, namely taking out a lot of the more predatory plan that was installed during the previous comparative period. Going forward, I don't know the timing, but I'm just more curious, is there any plans in the road map where you guys might start thinking about raising the prices together with offering more to your customers. I'm just hypothetically speaking, if your entry plan is THB 120, you could potentially bump the customer to THB 135 and offer them a little more. Is there something like that you guys are thinking in the pipeline?
Pratthana Leelapanang: Thank you, Samuel.  First of all, we're very focused on provide customer values. So that's the essential part of AIS to bring in quality product and service for customers. Moving forward, even now, -- we always have a variety of product packages for customer, inclusive of content offerings, a variety of ad on not only on the dimensions of PL bits and bytes and minutes in combined. With the collaboration with partner, we'll be able to bring a variety of those to customers and to answer their needs. There are always room, we believe, to use more. Looking at the whole scenario of having 3G a bit handsets there, 4G device, 5G device. 5G device penetration right now is roughly about 20-plus percent. There are more room to grow. We truly believe when they have better phone, they consume more. I truly believe we can provide product and service that will consume more.
Samuel Chen: All right.  I do have another question. This one is probably more straightforward. CapEx, you already guided the thoughts. So we're in 2024 coming to 2025. Hopefully, 6G doesn't come until 2030. So we've got about 5 years. If I'm looking at THB 25 billion, THB 26 billion previous year this year, can you kind of guide us like more of a slope in the next 3, 4 years, what level of CapEx are you guys thinking sloping towards like 2028, 2029?
Montri Khongkruephan: I think it depends on the level of data consumption going forward. I think what we implemented right now, the coverage is 95% of the country. I think that's good enough. We still look into how we can expand the coverage, especially on the big city like Bangkok for the area that there's a new property coming up. And then suddenly, we need to build more coverage. I think that's we need to continue to invest. And also the capacity, I think we also need to assume how data consumption will go up. I think right now, it's about 30 gigabyte per sub per month. And if they continue to grow, we also continue to expand. So based on the assumption we made last year, I think the data consumption, we go speed up higher, probably enough '26 or beginning and also full year '27. So maybe that gives you a color on how CapEx need to invest. We cannot give you right now whether it's going to be lower and higher. So -- but the data consumption will tell.
Somruetai Tantakitti: Yes, so we have a few more minutes. If you have your pressing questions that you would like to ask the management, please feel free to do so.  Okay.  Then this is the end of our -- Khun Pisut for another time.
Pisut Ngamvijitvong: Just follow-up questions on what Khun Somchai said about 3300 megahertz, that you don't have the network [indiscernible]  to accommodate that. Can I assume that the financial visibility for you to acquire the 3300 megahertz will be pretty low because if you buy the spectrum, you have to invest even further for the network. In contrary, your competitors seems have an edge because they clearly use the spectrum right now, so they can have -- can require them quite marginal investment on this one.  Can I assume that?
Unknown Executive: [ Don't exactly like ] that in technical, you [indiscernible]  but in terms of the total picture of our investment, it's really different way. Because when we have the opportunity to go to the auction, we will see how much a 2.1, how much 2.3, the price of the spectrum and how the competition in the market compared with the competitor go to auction, that's the [indiscernible] frequency. We have the consultant to do so, we still interest in 2.3, not [ ignore ]. And if we have to get the 2.3 how much the investment in terms of [ technical ] we also have that kind of number. After we calculate and see in the reality, we will decide, we will call how much of the 2.3 frequency that's suitable in terms of financial -- our financial model.
Pisut Ngamvijitvong: Yes.  Another question about 3500 megahertz. You mentioned about the broadcasting, which is digital TV that are using C-Band or the [indiscernible] sort of thing. But for my understanding, the license of digital TV will expire in 2027 which means that the auction for the 3500 megahertz may happen sometime near 2027, which is quite [indiscernible] on this. And your management mentioned that data consumption is going to pick up in 2026 or 2027 is probably coming from the AI in the mainstream. So about the spectrum portfolio of planning that you may need to acquire additional spectrum for the -- to make sure that your network is ready for the rising data consumption. Could you please add some color on that?
Unknown Executive: Yes, yes.  You are right, the 3.5 still not early in next year for sure. Another 2 years go to the auction, we still have plenty of time to do so. The spectrum that we need, it also depend on the application. If at that time, have the AI application, really needs the spectrum to help, I think both of AIS and DTAC also [ NT ] to acquire 3.5. If not, if not had any application, I think the next year on the 2.1 and 2.3 of NT and also [indiscernible]  that we try to up for them all over 2.1. I think this kind of frequency, both of us are still can [ select ], no need to waiting for 3.5. However, when the 3.5 come, I think both of us still looking for, even no AI it still depends on the cost and price at that time also.
Somruetai Tantakitti: To add on 3500 will expire in 2029. We have Khun Arthur again from Citi.
Arthur Pineda: Just one follow-up question. Could you please remind me how much was the tax loss carryforward that you have from the 3BB acquisition? And when you expect to actually start utilizing it?
Pratthana Leelapanang: We have THB 20 billion loss carryforward from 3BB. And how much you're going to utilizing it depends on how much profit we can make in the next 4 to 5 years.
Arthur Pineda: Also it is over 4 to 5 years.
Somruetai Tantakitti: Okay.  I think we have roughly finish with the Q&A. And thank you very much for you guys to attend in this quarter. So see you again in the final year-end results next quarter half.